Operator: Greetings, and welcome to the Five Point Holdings, LLC First Quarter 2024 Conference Call. As a reminder, this call is being recorded. Today's call may include forward-looking statements regarding Five Point's business, financial conditions, operations, cash flow, strategy and prospects. Forward-looking statements represent Five Point's estimates on the data of this conference call and are not intended to give any assurance to actual future results. Because forward-looking statements relate to matters that have not yet occurred, these statements are inherently subject to risks and uncertainties. Many factors could affect future results and may cause Five Point's actual activities or results to differ materially from the activities and results anticipated in forward-looking statements. These factors include those described in today's press release and Five Point's SEC filings, including those in the Risk Factors section of Five Point's most recent annual report on Form 10-K filed with the SEC. Please note that Five Point assumes no obligation to update any forward-looking statements. Now, I would like to turn the call over to Dan Hedigan, Chief Executive Officer.
Dan Hedigan: Thank you. Good afternoon, and thank you for joining our call. I have with me today Kim Tobler, our Chief Financial Officer; Mike Alvarado, our Chief Operating Officer and Chief Legal Officer; and Leo Kij, our Senior Vice President of Finance and Reporting. Stuart Miller, our Executive Chairman, is joining us remotely. On today's call, I'll update you on our Q1 results, on our team's focused during the quarter and the steps we are taking to implement our strategic priorities. Next, Kim will give an overview of the company's financial performance and condition with some limited guidance for the second quarter and the full year. We will then open the line for questions to our management team. So let's begin. I am very pleased to report another strong quarterly performance for Five Point as we continue to focus on fortifying our balance sheet, controlling our expenses and carefully managing our capital spend to match near-term revenues. Accordingly, we're happy to report a profitable first quarter, consistent with our expectations as we started the year. Our net income for the quarter was $6.1 million, which reflects the strength of the builder interest in our two active communities. Specifically, in February, we sold 11.6 acres of land at the Great Park for $6.4 million per acre for a total sales price of $74.6 million with a 60% profit margin. This sale contributed to the $17.7 million of equity and earnings from unconsolidated investments for the quarter. Additionally, consistent with our focus on holding down costs, we held our SG&A to $12.9 million, which is 6.5% less than the first quarter of last year. We achieved these results while there remains uncertainty around interest rates and inflation. We've been managing our business with the assumption that interest rates remain elevated for longer than originally anticipated. While interest rates are relevant in our chronically undersupplied California market, shortages of entitled land and existing home inventory continue to drive strong demand from builders. Moving to our balance sheet. In connection with the highly successful exchange of our senior notes, we paid down our debt by $100 million, resulting in an improved debt to total capitalization ratio of 20.9%. We ended the quarter in a healthy liquidity position with $233 million in cash and $0 drawn on our $125 million revolver, giving us total liquidity of $358 million. Kim will cover more details regarding our financials during his comments. Further validating our consistent progress, I'm happy to report that S&P Global has raised our issuer credit rating to B- and upgraded our outlook to stable. S&P also raised the ratings on our senior unsecured notes to B. These upgrades reflect the team's hard work in continuing to focus on our three main priorities: generating revenue and positive cash flow; controlling SG&A costs; and managing capital spend to match near-term revenue opportunities. Also reflecting the tremendous progress that we have made as a team, I'd like to parenthetically note that Mike Alvarado has added new responsibilities as our Chief Operating Officer. The addition of these duties is a recognition of the expanded role Mike has already been playing for Five Point and a significant contribution to our overall operational and strategic progress. Mike has been intimately involved with the company's assets and operations going back nearly 20 years. And as an expanded role, Mike will be focused on, among other things, ensuring that we execute efficiently on our business plan and overseeing entitlement efforts across our communities. I am confident Mike will see continued success in this new role that his leadership will help drive shareholder value. Congratulations, Mike. Let me now expand a bit on general market conditions. Notwithstanding last week's economic news on inflation, conditions in our markets remain relatively strong for homebuilders. The continued lack of existing home inventory, coupled with low unemployment and fairly strong consumer confidence has helped sustain strong demand for our land and our communities. The limited factor in demand remains affordability, which is driven in large part by the impact of higher interest rates and stubborn inflation. While interest rates have been fluctuating, builders have a variety of incentive structures to support new home sales. With the ability to adjust those incentives in response to interest rate movements, homebuilders have been uniquely able to capture and sustain demand to allow new home sales to continue. In the early months of 2024, we have seen strong builder interest in our residential land offerings, as well as sustained new home demand and we believe the demand for entitled land in our communities will continue to exceed supply. On the commercial side of our business, as we have noted before, capital markets have slowed for speculative commercial development, but we are still seeing interest in both developers and users. We're currently viewing user offers on certain commercial sites, and we expect this interest will continue to support commercial demand. The regional housing needs assessment, RHNA, process that is ongoing in California may also give us optionality to consider multi-family or for-sale housing on certain of our commercial sites. Let me now provide you with some updates on our communities, starting first with the Great Park Neighborhoods. As a reminder, the Great Park is the most mature of our communities and its ongoing contribution to our financial results reflects the benefits that we and our Great Park Venture partners are receiving from the investments made in the community in prior years. During the first quarter, builders in our Great Park community sold 69 homes. That number is lower than normal due to extremely limited inventory at Solis Park with only two remaining builder programs currently selling. Despite the limited inventory, we're encouraged by sustained interest and traffic in the community, affirming the ongoing appeal of the Great Park Neighborhoods to prospective homebuyers. We believe the builders share our sentiment as we are actively engaged with multiple builders on new land sale opportunities. Our next major neighborhood, Luna Park, opened one out of 13 planned programs at the end of 2023, and that program has already sold out. The remaining Luna builder programs are anticipated to start opening this month with openings continuing through September. As these programs open, we will once again be able to offer a wide variety of housing options in Great Park Neighborhoods. As I mentioned in my last earnings call, we anticipated two builder sales in Q1 at Great Park. The first planned home sale closed is scheduled. The second sale required the completion of some additional work before closing. Despite this closing, we split the sale into two phases, one of which already closed in Q2, we anticipate closing the second phase next month. As I mentioned earlier, there remains strong homebuilder interest in acquiring homesites at Great Park. In this quarter, we completed the bidding process for a group of six new home programs with approximately 400 homesites. We are currently finalizing contract negotiations on those home sites. We've also started the bidding process with our homebuilder partners for a sale of four new programs with approximately 300 home sites. We'll have more to report on those programs later in the year. Now, I'll move to Valencia, our other active community. Valencia is still in its early stages of development with many future phases of land delivery ahead of us, which will help -- which will also help address the land shortages I discussed earlier. During the first quarter, the builders sold 62 new homes. There are now only 27 homes remaining in our initial offering of 1,268 homes. In our newest Valencia development area, we now have five new homebuilder programs opened, with two more still to be opened later this year. We are seeing continued strong demand in Valencia. These new offerings will augment our current lineup, and we anticipate that these openings will result in increased home sales. The six new programs we sold in the end of last year are anticipated to open in late 2024 and early '25. Homebuilders remain engaged with us in Valencia. On the last call, we mentioned our plan to potentially convert a 35 acre site from commercial to residential use, which is permitted under our flexible zoning. We're now finalizing an agreement to sell this 35 acre mixed-use site for 179 homes with the sale anticipated to close in the fourth quarter this year. We also have three additional programs with approximately 200 home sites out to our homebuilder partners for bidding, and we expect to have more to report on those programs later in the year. Turning to San Francisco. We are continuing to work with the City and County of San Francisco to rebalance the entitles between our two San Francisco communities, Candlestick and the Shipyard. As I've discussed before, we are seeking the rebalancing to enable the development of Candlestick as a stand-alone project. This would allow us to begin development of Candlestick without having to wait for the Navy to complete its remediation activities at the Shipyard. We are very focused on obtaining necessary approvals from various City and County agencies and are maintaining momentum to activate Candlestick as the initial phase of this larger mixed-use community located on irreplaceable land along the San Francisco Bay. Let me conclude by saying our first quarter has seen continuing progress on our three main priorities: generating revenue and positive cash flow; controlling SG&A costs; and managing capital spend to match near-term revenue opportunities. Additionally, our entire team is focused on progressing entitlements for our next neighborhoods in Valencia and in moving Candlestick forward through rebalancing process. Our economic and geopolitical events have impacted the financial markets during the quarter, homebuyers in our markets continue to show interest in our communities. We believe that pent-up demand will continue to be a driving force for our land sales to builders. The underlying housing environment reflects a chronic supply shortage that is compounded by limited inventory of existing homes. Land development is a long game, and we have continuously been improving our financial condition. Our efforts today are ensuring we are well positioned within that long game by recognizing the importance of creating and maintaining shareholder value. Now let me turn it over to Kim, who will report on our financial results and will provide some limited guidance for the remainder of the year.
Kim Tobler: Thank you, Dan. As Dan mentioned, we were pleased to see S&P upgrade both our issuer and instrument ratings to stable B- and B, respectively. We believe that this upgrade is reflective of our improved performance and S&P's mindful understanding of the company and its assets. Let me give you a little more background on our operating results. For the first quarter of 2024, we reported consolidated net income of $6.1 million, which included $9.9 million of revenue and $17.7 million of equity in earnings from our investment in the Great Park Venture. It also includes -- within the revenue, $8.7 million of the revenue was related to our management services. The equity and earnings from the Great Park Venture was generated primarily from a sale in February of 82 home sites on 11.6 acres of land, with a land sales price of $74.6 million and a profit margin of 60% before closing costs. This sale comes out to a $6.4 million per acre. The venture also recognized $17.6 million of profit participation or so-called PAPA (ph) revenue related to prior year land sales. Consistent with our continued focus on managing our costs, our SG&A expense was $12.9 million compared to the prior year of $13.8 million. Now let me turn to liquidity and cash. We ended the quarter with $232.7 million of cash, as well as $125 million of availability on a revolving credit facility, resulting in total liquidity of $357.7 million. At the end of the quarter, our debt to total capitalization was an improved 20.9%. The things that materially impacted our cash balance this quarter were: First, the $100 million payment to settle our very successful senior note exchange, together with $8.3 million of accrued interest and $7.6 million of transaction costs; second, we received $24 million in equity distributions, of which $17.7 million is reflected in our statement of cash flows as a return on our investment in our operating activities; and third, we received $6.4 million incentive compensation payment from the Great Park Venture. Now we also spent $17.4 million in development costs at Valencia and $1.7 million at San Francisco. I'd like to take a minute to emphasize the significance of the Great Park Venture in our financial results. While we are actively selling land at both our Valencia project and the Great Park Venture, the Great Park Venture is a more mature master plan community, while Valencia is still in its early stages. To that point, in Valencia, we are still working through the development in sales in our first of nine villages. This first village represents only about 3,600 home sites of a total of up to approximately 21,500 home sites. At our Great Park Venture, most of the major capital costs have been incurred, and our continuing capital costs generally have been or will be recovered through CFD reimbursements. To review, in 2023, the Great Park Venture sold 798 home sites on 84 acres and sold another 37.9 acres of commercial land for total revenue of $532 million. The venture also recognized $21 million of profit participation, or PAPA. The venture made equity distributions of $411.2 million to holders of percentage interest, of which Five Point received $154.2 million. Five Point also received $41.6 million of incentive compensation payments. While we consult regularly with our venture partners, Five Point is the manager of the venture, and we are responsible for the day-to-day operations and direction of the development. We currently expect to maintain the current pace of sales and development for the next several years. Now for some limited guidance. We expect the second quarter net income to be similar to or slightly higher than the first quarter. As Dan mentioned, we have already had one sale close at the Great Park this quarter in the second quarter and are expecting another one before the end of the second quarter. For the year, we expect a total of between $75 million and $100 million of net income, with the majority of that income being recognized in the fourth quarter. We are also expecting to end the year with between $250 million to $300 million of cash. We continue to see positive momentum and believe that we are seeing benefits from the company's focus and attention on our three main priorities. With that, I will turn the call back to the operator.
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Alan Ratner with Zelman & Associates. Please proceed with your question.
Alan Ratner: Hey, guys. Good afternoon. Thanks for all the details so far. Appreciate it. Dan, I guess, my question is more around some of the near-term conversations you've had with builders. It sounds like you've got a number of parcels out for bidding. And I think we're -- unfortunately, probably three months ago, we were all hopeful that the rate outlook would look a bit better than it does today. And with rates climbing higher, I certainly, the equity markets are beginning to price in some risk of a slowdown. I'm curious if there's anything you're seeing in your communities, either on the home sale side or in terms of the conversations with builders that would suggest any of that concern or cautiousness we're seeing in the market is beginning to filter through to the housing side of things?
Dan Hedigan: Thanks, Alan. Always good to hear from you. Interesting, Alan is, and I think I mentioned in my remarks, what we're really seeing here is the chronic shortage of land and in particular, builder land, and title land, and home sites is really driving what we're seeing as we're talking to and actually actively bidding with builders. And that shortage of housing is actually seeing extremely strong bids and active participation by multiple builders on everything we're taking to market right now. And once again, I think it's -- I know that California is in such a unique place, there is no new home inventory or limited -- sorry, limited resale inventory and limited entitled land and lots. So we are not seeing any drop off kind of due to the current financial market. And as I say, the new homebuilders are uniquely positioned to keep sales going. And so that is -- that's exactly what we're experiencing in the market.
Alan Ratner: Great. That's encouraging to hear. On the Great Park sale in the quarter, so if I look at the price per acre, $6.4 million, well above the sales you recorded last year, I think the average was about $4.3 million per acre and I know that's a lumpy number. It looks like there might have been one other sale that was in a similar range back -- all the way back in 2019. But I think the average has been more in the 5s over the last few years. So is there anything unique to this parcel that would command the premium or do you feel like this is fairly representative of broader inflation on prices that you're seeing in the community right now?
Dan Hedigan: Well, one thing I've mentioned to you, I know the sale that you're reflecting back to had a unique structure. And so you're looking at kind of the going in price. But the coming out price, we expect to be much higher. And then as to this specific sale, no, it really is reflective of the market. There's nothing unique about this. It really is just what we're seeing in the market today.
Alan Ratner: Got it. So as we think about the next two deals you've got under contract, obviously, it's going to be maybe a little volatile, but something in the current range, I guess, is where we should think about the future sales coming in at.
Dan Hedigan: Yes, absolutely.
Alan Ratner: Right. Okay. Appreciate that. Thank you very much.
Dan Hedigan: Thanks, Alan.
Operator: Our next question comes from the line of Myron Kaplan, a Private Investor. Please proceed with your question.
Myron Kaplan: Yeah. Hi, gentlemen. Thanks for all the color and running things well with, I guess, you would say, with the SG&A under control and so forth.
Dan Hedigan: Thank you.
Kim Tobler: Thanks, Myron. Appreciate it.
Myron Kaplan: I guess the one thing I wanted to ask was with this distribution of the Great Park is the legacy interest paid out in the fall at this point?
Kim Tobler: It is not. We expect it to be paid out this year in total. So there's about $40 million left. So Myron, I'm sorry, there's only $10 million left.
Myron Kaplan: $10 million left. So that's after this last distribution?
Kim Tobler: Yes.
Myron Kaplan: So in Valencia, what's -- how can you -- if you haven't got inventory in Valencia in the end of the first village, how can you except for the mixed use? I mean you said at the end of the last call, I think that you had about 140 or 150 acres left. So how can you really do business? I mean talk about cash flow how can you close on it.
Dan Hedigan: So Myron, one of the things that you're certainly right. The first group of lots we opened, we're down to a very small inventory there. But there's another area that there is ultimately going to be seven programs at, five are opened and those are actively selling, and we'll see more of those selling and closing later this year. And so there's two more to open there. There's two more communities opening there. And then we did six communities last year. And those -- the first one [indiscernible] at the end of this year and the remainder of [indiscernible] beginning of '25. So that inventory will -- those homes will keep selling, which is why we also -- as I mentioned, we have sites out to bid now with builders to keep that going. The 179 homes that you mentioned, those are going to lag the market, but those should be opening next year also.
Myron Kaplan: If we ask where is the money, a lot of this is sort of off in the future, yes?
Kim Tobler: Not true. I mean, again, we're actively selling in Valencia this year and next year, and then we'll be announcing more about what's following that as we get closer to it, Myron.
Myron Kaplan: So just one question -- one item that you mentioned, Luna Park, I didn't understand at all. What's the situation in Luna Park, I mean…
Dan Hedigan: So Luna Park was the transaction we closed early last year, probably about this time last year when I think about it. And they've been working on the models. And there was 13 programs, it was 799 home sites, 13 programs. The first one was a very small program. It's opened and sold out. And they are now -- the next 12 are opening, they're starting to open this month, and they're going to continue opening and so we'll have all of those open sometime this year. And once again, it's -- we had Solis, which is winding down. Now Luna is another brand new community, large community like we do at the Great Park Neighborhoods and it is in the process of opening up all of its models.
Myron Kaplan: So you'll be able to sell sites?
Kim Tobler: Yeah. Myron, we're still selling sites, yes.
Myron Kaplan: So you can sell sites because it's like the builders are selling lots of homes, but you're not selling a lot of sites.
Kim Tobler: Yes. So Myron, to that point, I mean we always like to give the color on what the sales pace is of the builders. And then, we try to illustrate that we're still selling lots to them as well, that's why Dan mentioned those additional sales.
Myron Kaplan: Prospective sales.
Kim Tobler: Prospective sales.
Myron Kaplan: Yes. All right. Well, I guess, as you say, it's a long game. It certainly is.
Kim Tobler: Thanks, Myron.
Operator: [Operator Instructions] We have a question from the line of Ken Hansen with Stifel. Please proceed with your question.
Unidentified Participant: Thanks for taking my question. Just for full disclosure on a CFA, but not representing Stifel on the call. I'm representing my own shareholder interest. I like the second priority that you've identified as the controlling of cost. And I know, Dan, when you came on Board, you had a significant reduction in employee count. I think it was maybe a 30% reduction, something like that. And that's been helpful, I think. I'm just wondering now what you think about the size of the Board? I think it was 11 when you came on Board and maybe it's down to nine. But when you think about the ratio of Board members and employees, it seems a bit heavy -- not a bit heavy, a lot heavy. Lunar has the same number of Board members, I think, and they have 12,000 employees. So I'm wondering if maybe just an optics thing, but maybe it's a flexibility thing as well and certainly would be a cost savings if the Board were smaller. So could you just comment on the size of the current Board and any interest you have in making it more nimble and responsive? Thanks.
Dan Hedigan: Ken, thanks for your question. The Board has been nine as long as I've been here. I don't know if it was 11 that you mentioned, but certainly it's been nine as long as I've been here. And I can tell you that the Board actually does take a look at their function and operation every year. And at this point, the Board is functioning well. And I would -- I'd just have to defer, that's to the Board to make those types of decisions, not to me per se. But we have -- I think we have a very active Board that has been very supportive in my transition into this role.
Unidentified Participant: And I know, I think Mr. Miller is on remote, can he respond to that?
Dan Hedigan: Yeah. I don't think that would be appropriate to get into beating our Board on this call, but we appreciate the question.
Unidentified Participant: Okay.
Stuart Miller: And I am on remote. I agree with Dan.
Operator: That concludes our question-and-answer session. I'd like to hand it back to Mr. Hedigan for closing remarks.
Dan Hedigan: Thank you so much. On behalf of our management team, we thank you for joining us on today's call, and we look forward to speaking with you next quarter.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.